Simon Litherland: Good morning, everyone, and thank you for joining us today as we share Britvic's first half results. After my reflections on the half, I will hand over to Joanne to take you through the financials before I come back to look further ahead. I am delighted with our first half performance, particularly given the challenging external environment. Our growth strategy is working as we accelerate top line growth in all our markets and build momentum on both core brands and in new growth spaces. We are successfully mitigating the well-publicized inflationary pressures through price, promotional mechanics, cost and efficiency measures and are supported by our resilient well-invested supply chain and by our highly engaged and very capable people. We also continue to invest for the future. This includes increased A&P and further investment in our infrastructure organizational capability and our sustainability agenda. We are a highly cash-generative business, and we have reduced our leverage by 0.6x from last year and have increased our interim dividend by 20%. Today, we have also announced that we're starting an initial share buyback program of £75 million over the next 12 months, reflecting the strength of our balance sheet and confidence in our strategy. We have strong momentum across all our key metrics, both financial and nonfinancial. Our underlying revenue for the half is up over 18%, and EBIT and earnings per share are both up over 20%, with adjusted EBIT margin up 20 basis points despite a 30% increase in A&P and the underlying inflationary pressures we are facing. We have declared an interim dividend of 7.8p, up 20% year-on-year. In terms of our nonfinancial KPIs, we remain top quartile for employee engagement and still lead the industry with the lowest calories per serve. We are on track to meet our stretching science-based targets. We've reduced Scope 1 and 2 carbon emissions by 30% so far. We continue to improve our water usage ratio, and now we have just over 30% recycled PET content across our GB and Ireland bottles. I will now summarize our progress across our markets, starting with GB where our aim is to lead market growth. The market is normalizing after COVID, and we are growing faster with total GB revenue significantly ahead of both 2021 and 2020 and before COVID took hold. We have grown revenue in all of At-Home, Out-of-Home and immediate consumption channels. Our growth accelerated to 21% in quarter 2 albeit against a softer base as last year's Q2 was still impacted to some extent by lockdown restrictions. Our core brands have strong momentum with Pepsi, Tango, 7UP, R Whites, J2O Lipton and Fruit Shoot, all in double-digit growth. And we have successfully increased price to help mitigate the impact of cost inflation. On the retail side, we've achieved some big customer wins in the period, including a 30% distribution uplift on our deferred consumption tax in Asda, and significant distribution gains in immediate consumption in Tesco. In hospitality, we are now the soft drinks partner for London's O2 Arena, the world's #1 events venue by ticket sales. We are also innovating to access new growth spaces. Plenish is growing market share in plant-based drinks, and we've leveraged Britvic's strength in grocery and food service to expand distribution. In March, we relaunched the brand in redesigned packaging which improves shelf standout and highlights its premium credentials and natural ingredients. Our acquisition of The Boiling Tap Company led to the launch of Aqua Libra Co. where we've developed and launched a new cartridge-based tap with flavored water options, and we're building a solid customer pipeline across both workplace and retail outlets. London Essence continues to grow, with revenue up over 200% as the on-trade reopen fully, and we continue to expand distribution and launch new flavors in both the At-Home and Out-of-Home channels. We also continue to invest for the long term. Our recent investment in the business capability program created one of the best supply chains in the industry, and we have just commissioned a fourth new can line in Rugby adding a further 150 million liters of capacity to meet expanding demand. We also made further investments in the site to reduce our carbon footprint and improve our water ratio. Our Kantar-based commercial transformation program went live in March, enabling greater visibility and optimization of our customer investment and promotions. We also completed the in-housing of our digital marketing activity. In Brazil, our intent is to continue to accelerate growth, expand our footprint and market share which will ultimately improve operational leverage. This year, we've continued to deliver double-digit revenue growth, achieving new market share highs on both our core and new brands, thanks to targeted distribution gains and great in-store execution. We have also taken multiple price increases to mitigate continued high inflation and we continue to enhance our vertical integration through the leasing of a new processing facility for grape. We are also building a portfolio of premium higher-margin brands such as London Essence and Mathieu Teisseire that will also help broaden our channel presence. We have installed and commissioned our third biomass boiler in the market, further reducing carbon emissions. Finally, turning to our other international businesses. In Ireland, H1 revenue is up an impressive 23% with double-digit revenue growth in the At-Home channel supported by a really strong market recovery in Out-of-Home following the lifting of COVID restrictions. All our core brands are growing, and we're extending them into new growth segments. We're taking price to mitigate inflation, and we are working hard to improve both our water and carbon ratios including through the removal of returnable glass bottles. In France, we've also delivered double-digit revenue growth of just under 12%. All our brands are in both revenue and share growth and we've taken price in a very challenging retail environment. We have also entered into a new co-packing partnership to support the continued international expansion of Mathieu Teisseire. As for our global premium brands, we doubled our international London Essence revenue in the half, with new distributors secured in Italy, Belgium and Australia, and we continue to expand our range of tonics and sodas to broaden appeal and mixing opportunities. International Mathieu Teisseire revenue grew 94% as we stepped up our support behind the brand, opening a new studio in Paris with new brand ambassadors headlining a series of high-end trade events. We've secured new distributors in India, Italy and Belgium and new customer listings further afield in groups such as Tim Hortons, Highland Coffee and the Annam Group. We've also secured an international listing for both London Essence and Mathieu Teisseire with Marriott hotels in Europe, the Middle East and Africa. So that's a brief summary of some of our key achievements in the first half. I'll now hand you over to Joanne for more detail on the financials.
Joanne Wilson: Good morning, everyone, and thank you, Simon. Before we get into the detail, figures on my slides will focus on adjusted measures and items expressed in percentage growth terms are calculated on a constant currency basis and adjusted to remove the Counterpoint agency business to add a like-for-like comparison. Group revenue increased 18.5% year-on-year, and we saw a sequential improvement in second quarter revenue, increasing 20.8% versus 2021. Adjusted EBIT increased 20.7% to £73.5 million, resulting in an adjusted EBIT margin of 10.2%, a year-on-year improvement of 20 basis points. The increase in EBIT margin reflects a positive channel mix as Out-of-Home volumes recovered and improved operating leverage. This enabled us to continue to rebuild investment despite significant inflationary pressures. Adjusted EPS increased 27.8% year-on-year, benefiting from a lower interest charge. The interim dividend per share of 7.8p represents a year-on-year increase of 20%. Our continued focus on cash management resulted in a positive free cash flow. As a result, we have delivered an adjusted net debt-to-EBITDA ratio of 2.2x, which compares favorably to 2.8x leverage in March last year. Moving on to channel dynamics. In our largest market, GB, the At-Home channels continue to grow. And in the year to March 2022, it was £1.1 billion larger than the year to March 2020. Since restrictions started to lift in spring last year, the Out-of-Home channel has seen a steady recovery back towards 2019 levels with the managed pub trade reporting like-for-like revenues close to pre-COVID levels in recent weeks. Our At-Home channel has seen value growth of 16.5% versus 2020, and our value share is ahead of pre-COVID levels with particularly strong growth in Pepsi, 7UP, Tango and Lipton. We have also seen immediate consumption volumes above first half 2019 levels, benefiting from improved distribution, including front-of-store chillers. In Out-of-Home, we have seen a sequential improvement through the first half with revenue as a percent of total GB revenue increasing from 30% to 34% in our first half 2022. This compares to a 40% share of pre-COVID. These dynamics have translated into an accelerated total GB growth with 10.8% volume growth and 19.3% revenue. The Out-of-Home recovery drove a revenue increase of 5% as we lapped the prior year trading restrictions. Importantly, we also continued to grow in At-Home, which was up 4.4% year-on-year. ARP growth of 7.8% was driven by price increases implemented in early Q2 and an improved mix across both channels and packs with Out-of-Home and single serve and increasing share of revenue. We increased our A&P in the first half in GB by £5.2 million, which along with COGS inflation, resulted in a decline in brand margin of 190 basis points. In Brazil, we saw a continuation of double-digit revenue growth with reported revenue up 15.3% and underlying revenue up 18.4%. This was driven by both volume and ARP growth and primarily came from our ready-to-drink juice, kids and grape brands. Both brand contribution and margin declined in the year driven largely by continued inflationary pressures, which were partially offset by implementing multiple price increases. Finally, turning to Other International. Volume grew by 14.5%, ARP by 2.6% and revenue by 17.4%, with all major markets in double-digit growth. Total brand contribution declined 240 basis points driven by input cost inflation, which again was partially mitigated by price increases. We continue to rebuild our A&P investment across the business with a focus on the highest returning spend. Total A&P was £6.1 million higher than our first half 2021 with an increased share of spend on digital media. Our fixed cost base increased by 6.9%, which reflects selective investment in key areas and a continued discipline on our discretionary spend. Overhead and other costs were the biggest driver of the increase, reflecting investment in our capability and increase in variable award and also an adverse swing of £2 million on our hedging settlements. Selling costs increased 6.5%, in part driven by the acquisition of Plenish in the second half of 2021 and increased discretionary spend as costs, including travel, to partially normalized. Our fixed supply chain cost increases were driven primarily by utilities inflation. At prelims last November, we shared that we were seeing a higher inflationary environment, driven by commodity and energy prices. Events since then have led to further inflationary pressure and supply chain disruptions. For our business, we have particularly felt the impact across packaging, including aluminum and resin ingredients, most notably juices and of course, the increases in natural gas and oil, which have a knock-on impact across the supply chain. We continue to remain focused on minimizing the impact on our business and the 3 key levers to do so: our revenue growth management capabilities, smart procurement and productivity initiatives. We also have a positive mix benefit from the continued recovery of Out-of-Home volumes. Our most significant lever is our revenue growth management, which includes pricing activities, our promotional strategy and mix management. Following extensive elasticity modeling, selective price increases were successfully implemented through the half. So there has been a time and therefore, margin lag between inflation hitting our P&L and the price increases landing with customers. We expect to realize the full benefit of our pricing and other actions in the second half. Our experience and elasticity modeling from past inflationary periods has shown soft drinks to be a resilient category and the relatively high degree of promotional participation provides a degree of flexibility to ensure the trade-off between volume and value growth is optimized. Our second lever is our procurement capability, which we have invested in over the past 18 months including the implementation of SAP Ariba. We have changed our sourcing strategy to improve security of supply and have a high level of cover across the commodities we hedge and our fixed supply contracts, with approximately 95% covered for the balance of our financial year 2022 and 50% for 2023. This gives us a degree of forward cost visibility to ensure we have the right plans in place to mitigate the inflation on our business on a rolling 18-month basis. Our final lever is our productivity initiatives, a disciplined approach to cost management. These include new capacity in GB, which reduces co-packing costs. And across supply chain, we continue to drive cost efficiencies through our continuous improvement program, including reductions in our cost to serve, warehouse automation and reducing secondary packaging. Moving on to cash. I am pleased with the continued focus on cash management, which is reflected in our positive free cash flow in our first half. The year-on-year movement in cash was driven by an increase in EBITDA of £10.3 million, a working capital outflow of £8.7 million and lower CapEx. We also saw an increase in our year-on-year income tax as we lapped a cash tax rebate in France. The working capital outflow was driven by an increase in stock as we held higher-than-normal levels to protect service, and we saw an increase in our Brazil stockholding driven by inflation and further vertical integration and grip. Our receivables performance was strong with average days sales outstanding continuing to fall. This was partially offset by a lower level of payables. Our net debt position reflects a reduction of £130 million compared to our closing net debt in March 2020. This brings our leverage ratio to 2.2x, the lowest half year leverage since 2016. We have a disciplined approach to capital allocation, ensuring we invest in the business to support sustained organic growth and as opportunities arise, use M&A to increase our exposure to new or fast-growing categories or to accelerate our scale. We remain committed to an adjusted net debt-to-EBITDA ratio of 1.5 to 2.5x under progressive dividend policy based on a 50% payout ratio. Given our confidence in the continued downward trajectory of leverage and our strong cash generation, we have today announced an initial share buyback program of £75 million to be executed within the next 12 months. Our total adjusted items in the first half was £6.4 million, and I wanted to draw your attention to a change in our accounting policy relating to implementation costs of Software-as-a-Service arrangements. Previously, these costs were capitalized. However, following guidance issued by IFRIC last year, such costs are not required to be expensed. The costs impacted by this change in accounting policy were £3.2 million in our first half and relate primarily to 2 projects: the implementation of Kantar, our new commercial system; and SAP Ariba. We anticipate full year costs to be £0.2 million. And finally, for me, just to share some technical guidance and modeling considerations for the balance of the year. As highlighted at prelims, the shape of our growth in 2022 reflects soft base comparators in the first half as a result of lockdowns in 2021. And therefore, while we expect continued good revenue growth in the balance of the year, we will face a tougher second half lap. We expect inflationary pressures across commodities, ingredients, labor and energy to continue. We have a high level of cover in place for the balance of 2022 and now expect inflation for the full year to be high single digits. As I've shared, we have a number of levers to mitigate the impact of this inflation on our P&L, and this gives us the confidence to continue to invest behind our strategic growth drivers, including A&P, digital capability, sustainability initiatives and capacity, all of which will support both near-term and longer-term growth. On tax, we estimate our effective tax rate to be 20.5% to 21.5%, and our interest charge to be between £17 million to £18 million. Our expected CapEx for the year is £80 million to £90 million, and full year adjusting items are estimated at £15 million to £16 million, reflecting the change in accounting policy and treatment of SaaS-related costs. Thank you, and I will now hand you back to Simon to talk about our confidence in our future growth.
Simon Litherland: Thank you, Joanne. In this final section, I'll look ahead to our second half and beyond. To reinforce the point I made at the outset, our growth strategy set out on this slide is really working and remains robust and relevant. I am confident we will continue to drive sustainable growth for Britvic even through the most challenging of times. Now you are very familiar with this slide, but I would like to call out a few highlights on some of our key focus areas for the second half. In H2, we will continue to build on our growth momentum and invest for the future. We will activate our brands through a series of highly relevant marketing programs while also optimizing our pricing and promotional strategy to help mitigate rising inflation. We are expanding our core brands through line extensions and innovation, and we'll continue to build our scale in new growth spaces. At the same time, we are building for our longer-term future by investing behind our brands, developing our organizational capability and further embedding our sustainable business practices across Britvic. Our second half brand campaigns feature a mix of proven winners and exciting new ideas. These include the launch of a big new summer campaign for Robinsons, the Big Fruit Hunt, and Robinson's ready-to-drink sponsorship of Cricket's Popular 100 series. The ever successful Pepsi MAX taste challenge is back, as is our Pepsi Live Nation music campaign, and we're sponsoring women's Euro football for the first time. J2O is launching a new campaign across both At-Home and Out-of-Home channels. And in other markets, we have exciting new digital campaigns for Maguary in Brazil and Club and MiWadi in Ireland. We also continue to build on the shoulders of our core brands through a combination of line extensions and innovation, examples of which you can see on this slide. In Ireland, Ballygowan will access the flavored water segment with a Hint of Fruit. And having recently entered the energy category there with Rockstar, we are also launching Club Loaded, a glucose extension to the Club brand. In GB, there are new low-sugar flavor extensions for Tango, Britvic mixers and Aqua Libra, while London Essence launches a new pink grapefruit soda across all its markets. In Brazil, we're extending Puro Coco into a smaller 180 ml format to target kids and broader on-the-go consumption occasions. In GB, Purdey’s joins Aqua Libra in accessing the At-Home market with a new multipack and 7UP Free extends its range with 7UP Free Cherry. We continue to access new growth spaces with 2 examples on this slide, one big and one currently small. Flavoring water is one of our key growth areas, building on Britvic's flavor concentrates expertise across all our markets. Water consumption continues to grow and yet the opportunity to improve the drinking experience with flavor and function remains relatively untapped. We see significant opportunity here for our squash and syrups brands and for Aqua Libra Co., our Beyond the Bottle business. As well as the marketing campaigns I referenced earlier, we're supporting our flavor concentrates brands by relaunching Robinsons Fruit & Barley with added vitamins and expanding our range of Robinsons Benefit Drops. And in Belgium, we are launching Teisseire for soda machines. And as I referenced earlier, we have developed an innovative flavor tap under Aqua Libra Co., which is generating significant interest in workplace and retail channels. On Plenish, following the recent relaunch, we will continue to leverage our existing commercial relationships to secure wider distribution. We are supporting the brand through the Less Is Moreish campaign to highlight what makes Plenish different and premium. We are activating this campaign, both online and in-store to drive visibility and trial, featuring our new brand ambassador, TV Chef, Ravneet Gill. Our sustainability programs span both Healthier People and Healthier Planet. On People, we promote healthier consumer choices through low and no-sugar products and through the addition of supplements like vitamins, several of the examples of which we've covered today. Within the company, we empower and engage our employees at every stage of their career. For example, to help those joining the workforce, we currently employ 74 apprentices and have made offers of permanent employment to a number of our 42 government kick starters. We are a part of the FTSE drive to advertise vacancies to Ukrainian refugees and have recently had our first employment offer accepted under the scheme. On Planet, we are working towards our science-based targets and culmination. We also continue to champion a world without packaging waste. A part of this is our commitment to reduce the amount of nonrecycled plastic across our portfolio. And in addition, we are looking at innovative solutions to replace plastic packaging, while also moving Beyond the Bottle altogether with London Essence on tap, and Aqua Libra Co. alongside our existing dispense business. Despite external headwinds, we continue to invest in building capability across multiple disciplines. As well as the commercial transformation and digital marketing initiatives I referred to earlier, we are continuing our technology investment road map. For example, we are in the final stages of rolling out SAP Ariba for self-service procurement and we are partnering with Amazon Web Services to migrate our data to the cloud, allowing us to close our physical data centers and thereby increase agility and security while reducing our carbon footprint. The technology program extends into the supply chain where we continue to digitize our 3 GB factories to optimize manufacturing output, efficiency, sustainability and resilience through the monitoring of performance, energy usage and required maintenance. And in warehousing, alongside the upgrade to our national distribution center, we are rolling out extended warehouse management systems, which provide full visibility of materials through to finished goods and is building increased resilience by improving our management of inventory, wastage and product quality. In terms of capacity, we'll be installing yet another can line at our Rugby facility, our fifth, as demand continues to expand. And in Brazil, we will increase capacity through an additional small Tetra Pak line to enable our growth in kids and on-the-go. We will also increase our resilience and reduced costs through further vertical integration of key raw materials. So to summarize, the strong trading momentum we have delivered in the first half sets us up well for H2. We have successfully taken action to mitigate inflation, and we will continue to optimize our pricing and promotional activity as the year progresses. We see multiple opportunities to continue to grow our business both within our existing channels and brands and in scaling our presence in new spaces. We will continue to invest in our future through marketing programs, organizational capability and sustainability initiatives. We have clear and compelling priorities for H2 and remain confident in our track record of resilience, agility and strong execution. We remain highly cash generative and look forward to enhancing shareholder value through sustainable growth and buybacks. Thank you for listening to us today. And now Joanne and I will answer your questions.
Operator: [Operator Instructions] We will now take our first question from Edward Mundy from Jefferies.
Edward Mundy: Three questions from me. The first is really around channel mix. It's really a 2-part question. And Simon, I mean, At-Home sales have continued to grow despite the rebound in the away-from-home channel, is this really due to sort of increased household penetration or is it consumer frequency that's driving that? And how sticky do you expect these trends to be over the medium term? I guess as the early part of the question on channel...
Simon Litherland: Ed, sorry, I didn't hear that question, the beginning part of the -- I got the channel mix, but I didn't get the detail.
Edward Mundy: Okay. So the question is, sales are higher At-Home channel relative to pre-pandemic levels and last year, despite the Out-of-Home channel sort of bouncing back. Is that due to increased household penetration? Or is it increased frequency? I mean, I'd love a bit of color on sort of what really driving that. And how sort of sticky do you expect these at-home trends to be? The second part of that question is perhaps more for Joanne really around sort of the margin structure. So At-Home is a larger part of your business today, relative to pre-pandemic levels. Is this a headwind for margins? Or does the larger scale that this brings to your broader business, provide an offset? That's the first question around channel. The second question is really around the consumer environment. There's a lot of chat in the media around the weakening consumer environment, but this is clearly not evident in your numbers or in your momentum into April. If we do hit a tougher consumer environment, what parts of the strategy would you expect to evolve to navigate through that? And then the third question is around this new commercial system to optimize the efficiency and effectiveness of promos and customer investment. Historically, soft drinks, a big bulk of it has been sold on promo. What are the early learnings from this? And how significant could this be for ARP?
Simon Litherland: Great. Thanks very much for those questions, Ed. So yes, just, Joanne can pick up margins and perhaps the Kantar sales promo transformation program, and I'll pick up the other 2 bits. So yes, on the channel mix, we have seen post-COVID normalization with Out-of-Home almost back to pre-COVID levels and immediate consumption actually slightly ahead of pre-COVID levels. But as you quite rightly pointed out, it's still a relatively robust At-Home market. And I think the answer to your question is both. It is increased penetration of our brands, and it is increased frequency, and I think on top of that, we've done very well building our relationship with our customers as our brands have momentum, and we tend to have a slightly stronger share in the At-Home channel than Out-of-Home channel. We've successfully been able to build our distribution points and visibility in-store. So I think some of it is market and the consumer reactions and some of it is actually how we've been activating and executing in-store that's driving that robustness. And then I'll pick up the consumer environment as well. So yes, we've seen the normalizing after COVID, as I've just referred to. And of course, there is a drop in consumer confidence and a cost of living squeeze. But as you all know well ahead, this is a resilient category. It has proved to be resilient in past recessions. And I think we're particularly well placed with our portfolio directed at low, no sugar, health and wellness trend from a consumer perspective and obviously #1 and #2 trusted brands in our respected segments, and that is where consumers tend to turn in times of difficulty, as it was last during COVID. And then I guess the final point is also, as you know, we are very much a multichannel business. So where the recessionary impact tends to shop first is in Out-of-Home. And yes, obviously, with the balance across Out-of-Home, At-Home and immediate consumption, I think we're well placed to deal with that. And then finally, we have seen continuation of our momentum into April and early May where we kind of continue to record double-digit revenue growth. Joanne, do you want to pick up on the margins and on Kantar.
Joanne Wilson: Yes, let me just take the margin question first around channel mix. So we are seeing a number of tailwinds on our channel mix. First of all, Out-of-Home is recovering back in line with what we expected, and that is improving the margin rate that we see and also our immediate consumption volumes are back ahead of 2019, and so that is also helping. As you said, we've got a much bigger At-Home business, the overall At-Home market is bigger, and we've taken share of that market. And that does tend to trade at a lower rate. But we have seen a benefit from operating leverage coming through in the first half, and we expect that to continue in the second half, although the last will be stronger. So it's not coming through as strong as we saw in the first half. The other point I'd add, Ed, is in Out-of-Home, we've shared the percent of revenues increased to 36% in the first half. That compares to 40% pre-COVID. What I would share within the Out-of-Home, we are seeing a different Out-of-Home mix, so managed retail and wholesale has recovered quicker than food service and license. Within food service and license, we've seen QSR performed strongly. So that for now is driving an adverse mix within the Out-of-Home channel as well. So there's a few dynamics going on within the margin mix. But definitely, some of those tailwinds as I said, coming through in the first half. In terms of the commercial system, I'm really pleased to say we went live with that in GB and Ireland in February, and that's been very successful. Just to remind you, some of the benefits from implementing that system is really drive our promo optimization. It will give us real-time data on our promotions and much stronger pre and post promo evaluation and also much faster execution on automation. So lots of benefits with a really strong payback on that. As it has only gone live in February and most of those benefits, some of them will come through in the second half and most of them will be in FY '23. You asked specifically on ARP. So yes, absolutely, it should drive our ARP, but it should also drive our margin. As we understand our effectiveness of our promotions better, we can react in real time to those to really drive the return and therefore, increase margin, which is obviously incredibly helpful in the environment we all find ourselves in.
Operator: We will now take our next question from Fintan Ryan from JPMorgan.
Fintan Ryan: Two question for me, please. Firstly, I'm wondering, could you give us a bit more color on the Brazilian supply chain issues that you highlighted in the first half, just with regards to the coconut water order and I presume holding back to concentrates business as well. At what point would you hope for those issues to be resolved? And should we expect to see, therefore, an acceleration of the top line of these in the second half of the year or in '23? And then following on from that, just what's your view -- what color can you provide in terms of margin delivery in the Brazilian market over the next 12 to 18 months? I appreciate where the raw materials are, but clearly, you're seeing pressures despite the pricing actions. So if you can give us some sense of what the moving parts are there? And then just maybe a small question on Rockstar, particularly in GB. You didn't really mention the performance of that brand in particular in the opening remarks. So some color on how that is performing in market currently and how -- what your plan -- commercial plans are for the second half. That will be very helpful.
Simon Litherland: Right. Okay. Thanks, Fintan. Yes, look, I mean, the Brazilian supply chain has been complicated from a logistics perspective. We have had some ingredients challenges. You called out coconut water, which has restricted our sales capability to a certain extent. And we've also been challenged with keeping up with demand on our Fruit Shoot and kids' brands as we continue to grow and take share in that category. But having said that, I wouldn't call it out as a major issue. As you can see in the results, underlying growth of 18%, and that's on the back of 4 or 5 years of good double-digit growth. So we're really pleased with our Brazilian performance. We have taken significant share in all of our core categories from which we acquired, so concentrates, in ready-to-drinks. And we've also taken quite significant share in new brands and categories, such as coconut water, grape and kids. And all have seen that in the presentation. And I think that's very much in line with our strategy, and this plays a little bit to your second question around margin delivery there, where our intent is to build scale build share and grow our penetration of that market and the significant scale of the soft drinks category in Brazil, which will lead to operational leverage over time. And as we build these brands to have a reasonable share, we can also start to take more price. And on top of that, we have premium brands coming in, which are higher margin, and it will enable us to grow our presence beyond the off-trade also into the on-trade, which will be higher-margin business and create a more resilient business. And then finally, we continue to be really successful with our vertical integration, and this will help with the supply chain as well. The most recent example is we're producing our own grape juice this year through a leased facility in the South. So I think the margins are suppressed with inflation in Brazil at the moment. It has been a challenging market, but we're very pleased with the progress we're making. And over time, we continue to see ourselves building margin. And then I'll just pick up on Rockstar and GB. Look, it's been challenging for us, and I think that's primarily driven by 2 factors: one, supply chain. So as you know, we've had a lot of problems with our outsourced supply of Rockstar. And secondly, we're delighted to have a brand like Rockstar with PepsiCo, marketing capability behind it as well to be able to participate in a category, which is the second biggest category in the market, £1.5 billion. And we're pleased to say that the supply challenges are done and dusted, and we can now focus on building the brand. We've got a lot of summer activity to do that. We still have strong customer support. We will be out sampling and got number of different consumer promotions, so it's kind of a positive direction from here. But what I will say is this isn't a quick burn. I think the 2 very strong competitors in this category, and I'm confident that we will take share over time, but it's not going to be a quick burn.
Fintan Ryan: Great. And then just a quick follow-up on the last point. I appreciate you've added new accounting capacity, significant [Indiscernible] accounting class. Would it be fair to say that, that would be going towards the insourcing of Rockstar production?
Simon Litherland: Yes. So we continue to add new can capacity, as you say, new line this year. And we're also going to be putting in a new line through the second half and into the first half of next year, a fifth can line. So the mine continues to grow, whether we in-source or not will depend on how we see that demand evolving over time. We haven't made that decision yet, but it is a possibility that we'll bring Rockstar In-House.
Operator: We will now take our next question from Emma Letheren from RBC.
Emma Letheren: I was wondering if you have seen any impact on your volumes from the price increases you've taken so far or if it is too early to say? And equally, have you seen any down trading within your categories? And secondly, what would -- what kind of magnitude with your margin improvements been in the half without the kind of heightened cost inflation, given that you should have that positive mix improvements that you've mentioned from the recovery of Out-of-Home and immediate consumption?
Simon Litherland: Okay. Thanks, Emma. Look, I mean, I think on the consumer demand, the short answer is we haven't seen any downside impact from either price or the challenged consumer environment at all. As I said to Ed on the first question, this is a resilient category. Our portfolio brands puts us in a very strong position. We're building our distribution points and visibility in-store with customers. We've got a very strong summer marketing campaign across our portfolio. So as I say, we're confident in the outlook. And as we've seen in past recessions, we've fared well. So -- and with regard to price, we have taken price as we articulated through the course of the morning, but we're using all the levers at our disposal, mix, promotional depth and frequency as well as cost and efficiency measures. So I think we've been proportionate. We've considered our competitive position across brands and SKUs and channels and customers, and I think the team have done a really good job. So I think we're well placed for the future. Joanne, do you want to pick up the cost...
Joanne Wilson: Emma, it's quite a difficult question to answer because, of course, as Simon said, we are responding to a higher inflationary environment. But certainly, what I can say is that I am pleased with the tailwinds that we expected to see on margin both [Indiscernible] rate, and they are coming through. So as I mentioned earlier, we're seeing improved operating leverage as we saw strong volume growth in the first half, and that is all coming through and also a mix benefit, both from the channel mix, so Out-of-Home recovery back in line with how we expected and also the pack mix effect. So and that moved back into single-serve and immediate consumption, all of which is improving the margin rate. But of course, in the first half, that has been offset by the time line between inflation hitting the P&L, which is very much from the start of the year. And when our price increases were implemented in markets. So for example, in GB, we implemented price early in Q2 and in France, that was at the start of March. So that's impacting the margin that we have delivered.
Operator: We will now take our next question from Simon Hales from Citi.
Simon Hales: Just a couple for me as well, please. I mean, firstly, I mean, given the worsening Coke's backdrop that we're seeing now, given the war in Ukraine as we head through the second half and into fiscal 2023, I just sort of wonder how you're thinking about your ability to take further pricing. Some of your peers have already commented that they're already contemplating second round price increases, maybe as early as the second half of this calendar year. I wonder where your thinking is on that in your different geographies? And secondly, with regards to the share buyback. How should we firstly think about the phasing of that share buyback program you've announced today over the next sort of 12 months, just sort of 50-50 over the next sort of 2 halves, is that the right way to think about it? And Joanne, you mentioned in your comments that this was an initial share buyback program, I think you said, does that mean we should really start to think about modeling into our outer year forecast and ongoing share buyback or into our estimates?
Simon Litherland: Okay. Great. Thanks for those. I'll take the first, and Joanne will pick up the second. So look, it is still really difficult to work out what happens from a cost perspective going forward. Clearly, we have a lot of visibility for the balance of this year given our hedging policy. And we're also starting to get some quite good visibility and hedging into next year. But exactly how that transpires, I think, we'll wait and see. What we are though doing is, obviously, we are responsive and agile in how we think about this, both from a pricing perspective as well as other measures. So as we go through the second half, we'll, of course, get a better chance to see how the momentum of our brands continues versus the price assumptions and electricity assumptions that we put into our thinking, and we'll adapt our pricing promotional strategy through the balance of the second half. Whether we need to take more price or not this half, we'll see if this sort of COVID backdrop that we anticipate continues into '23, then of course, that will be part of our plan for the next year as well.
Joanne Wilson: Yes, let me take the second part of your question first, and I'll give you some context as to how the Board thought about the share buyback. And so we're really pleased with our cash performance over the last couple of years. So since March '20, we paid down our net debt by £130 million, and our half year leverage is the lowest it's been since 2016. We're also confident on the downward trajectory of our leverage going forward, the cash generation of the business and execution of the strategy. And within our capital allocation framework, we have a leverage range or target leverage range of 1.5 to 2.5x, which we are well within our capital allocation as well. We're very much focused on prioritize, obviously, investment in the business to make sure that we can deliver the sustained growth that we're setting out to do, and we're confident that our CapEx and OpEx investments will allow us to do that. And therefore, we have announced the share buyback today. It's an initial tranche of £75 million, as you said, over the first -- over the next 12 months. We will continue to review this at the end of each year. And if the circumstances that we see today continue, then we would see this as a recurring program. In terms of the phasing of the £75 million, I mean, it's about 3% of our value today. We would look to take opportunity as that present itself, which I think it does in the market today to perhaps front down that a little bit, but the intention is to do that over the next 9 to 12 months to do the full £75 million over that time period.
Simon Hales: That's really helpful. Can I just follow up on something maybe with you, Simon, around your comments around the elasticity modeling and the assumptions that you've been making. In my mind, I have historically the elasticity and soft drinks has probably historically run at about 0.2, 0.3. I wonder what do you concur with that? Is that the sort of elasticity assumption you've been making? Or are you perhaps sort of stressing it a little bit further this time as you perhaps head into a recession where inflation levels are very extreme compared to anything we've seen in the last sort of 40 years? I just wonder how you're thinking about those elasticity assumptions.
Simon Litherland: Yes. I think a couple of things. First of all, I'd say your elasticity numbers are about right. But I think what's just as important is our relative pricing. So against our key competitive set, how we price. So I think let's see how that plays out. We have certain target price points. We know they work well for us, and let's see what the competition do over time. And then, of course, a part of it is about price, a lot of it is also about feature and the promotional intensity. So I think we know that this is a very elastic category. If you can get great feature and display, people see our brands, they tend to buy more and they tend to drink more. And as I said earlier, we've got -- we're in a great place with our customers. I'm very pleased with the conversations and cycles of joint business plans that we've had, and we've got some great promotional activity feature and display right through summer. So that gives me a lot of confidence. And then finally, of course, we have the ability to adapt and tweak our promotional depth or frequency as we go through the months ahead and learn more.
Operator: We will now take our next question from Nik Oliver from UBS.
Nik Oliver: Two for me, please. On GB, you mentioned a 70 bps drag on brand margin from A&P in the first half. Anything you can share on the second half to help us with our modeling. And secondly, a broader one on London Essence. You mentioned some of the new international distribution agreements, just some words on your aspirations for that brand longer term. And how we should think about pricing versus its nearest and premium competitors?
Simon Litherland: Great. Okay. Do you want to pick up the margin comment, Joanne, and I'll come back on London Essence.
Joanne Wilson: So Nik, as you know, we've been rebuilding investment, including A&P. This time last year or for most of first half last year, we were in lockdown or some form of restrictions in many of our markets, and therefore, our A&P was much lower. Hence, we've seen over £6 million increase year-on-year, and that's driven in GB, a 70 bps reduction on brand margin. As we go into the second half, we did upweight our A&P last year. We had a full schedule of media and in-store activities, and we would look to do a similar level this year. So you won't see that same drag on margin as we go into the second half.
Simon Litherland: Great. So yes, then really pleased with our London Essence performance, both in GB, where it's up over 200%; and internationally, where we're basically doubling the business, albeit those numbers are flattered because of the on-trade reopening. And as you know, Nik, the focus on London Essence certainly internationally and initially in GB has been to build the brand through the premium on-trade. And of course, that was, to some extent, slowed or upset in the last couple of years through COVID and also facilitated us moving into the retail channel in certain markets like GB, Ireland and Holland where the brand is more established earlier probably than we had anticipated, but actually quite successfully. So what we are seeing is actually a lot of interest in the brand, the premium opportunity for mixers and sodas is very much there, and that's been proved by our key competitor. And what we're finding with London Essence is this kind of working its way into the #2 slot, both in GB&I and indeed in our international markets. The brand credentials are working really well for us. The distilled essences, great taste, low in sugar, and the look and feel of the brand is very premium and as I say, is really working and getting a lot of attraction. So look, it's still small. It's kind of high single digits in terms of revenue for us, but growing strongly. And we are building a much better distributor base as we've given some examples in today's presentation, and we remain very excited about the potential for the brand over the longer term.
Nik Oliver: Great. That was really clear. And sorry, one just final quick one. On the tax rate, you mentioned the uplift in U.K. corporation tax coming in FY '23. I mean any early thoughts on what that could mean for the group tax rate for fiscal '23?
Joanne Wilson: Yes. So we'll see a half year effect, Nik, obviously, in FY '23 when that comes in and then the full year effect in FY '24, and that will obviously increase our GB tax rates. So yes, I think that should be reasonably easy to model.
Operator: We will now take our next question from Charlie Higgs from Redburn.
Charlie Higgs: My first one is just on Robinsons. I was wondering if you could talk about the performance in the half? And then how you see that going forward? Is it still an innovation-led brand, do you think? Has anything changed during the pandemic that makes you think that brand volumes might accelerate further or perhaps promotional intensity goes down? Just any comments around Robinsons would be useful, please.
Simon Litherland: Okay. Thanks, Charlie. Yes, our Robinsons performance is, from a volume perspective, is slightly down year-on-year. It's one of the very few brands actually. And I think that's a result of primarily the heightened consumption during COVID where you had significant numbers of people spending more time at home, which is where 90% of Robinson's consumption takes place, as you know. But having said that, what -- and sorry, the second thing is that we've very much been ensuring that we are looking after the value share in the brand and the margins within the brand. So our price positioning versus own label and a couple of our other competitors is probably at a slightly higher differentiation than it has been in the past, but we feel that's been a progress. And secondly, as we come into the spring and into the summer months, which is obviously a key selling period for liquid concentrates, we've got a very strong program behind the brand. So we're really confident that we will build volume growth and share in the second half. And more broadly, we are -- we remain really excited about the opportunity for brands like Robinsons or MiWadi, which is doing really well in Ireland and has grown year-on-year, Maguary in Brazil, or Teisseire in France. All these brands are at higher levels than they were pre-COVID. So we are seeing the growth and the opportunity to flavor more water both for taste and now with benefits is a real opportunity, and we think we're really well placed to build -- to take share and build growth for the business behind those.
Charlie Higgs: And if I could just follow-up on London Essence and GP. I mean, plus 216% is very strong, and you talked about new flavors and listings. I was just wondering if you could comment a bit more on the contribution of new listings to that growth. And where that's coming from, if it's mainly in the Out-of-Home channel?
Simon Litherland: It's actually across both. So we continue to build our listings in premium outlets and in some of our bigger customers, both with packaged as well as with London Essence infused on tap, if you like. So for example, the Marston's where we have 94 outlets, trying and London Essence on tap. But at the same time, we're building distribution with places like the Maybourne Hotel Group, Claridges, [The Conduit, The Berkeley Hotel.] So it's really building up premium credentials as well. So it is both. And then in the off-trade, we are in all the big grocers and our performance continues to accelerate in there with very good response to feature and display that we've had both over Christmas and in the last 4 weeks, we've had a big [Indiscernible] promotion, for example, which has really started to work well. So I've got no doubt the brand has momentum in both channels, and we'll continue to invest [Indiscernible] grow in the balance of this year and the years ahead.
Operator: We will now take our next question from Richard Withagen from Kepler.
Richard Withagen: I've got two questions. First of all, on the promotional environment, has that contributed to the gross margin improvement that you reported in the first half? And maybe some words on the -- how promotional the environment is now compared to the past? And the second question is coming back on the commercial transformation program. Just wanted to assess how it affects competitive position. And Joanne, you just mentioned margins earlier on, but does it also help to grow the business? How unique is this system? And is it all based on third-party data or some proprietary data as well?
Simon Litherland: Joanne, do you want to pick up...
Joanne Wilson: Yes. Okay. So just in terms of the promotional environment, we did have a little bit of de-escalation of promotions in the first half. Some of it was brand-specific where we had some supply issues, but as well, it was really managing margins ahead of some of the price increases landing the market. So that has helped support margin. In terms of the promotional environment that we're seeing, the promotions, we have more EDLP and just given the retail environment that we're in and that works across some of our customers. But overall, the promotional participation is broadly where it has been. I think what we will see is probably a de-escalation of promotions, so perhaps not as deep as they were in the past. And as Simon said previously, that is a lever that we will use as we go through the balance of the year. In terms of the commercial transformation program, I wouldn't say the system is unique. It's used by other FMCG companies. So Kantar, it's very well regarded. But certainly, as I said, it will support our promo optimization. So how we look at it is really -- the biggest benefit we'll see is in our margin. In terms of being competitive, it will definitely help us with customers as we plan our JVPs with them and also as we activate in your promotion. So making sure that those are as effective as they can be and that we are both getting the highest return from those promotions. In terms of the data, some of the data will be proprietary to us, but it also will be -- we'll be also using some of our customer data as well to drive the decision making.
Richard Withagen: And maybe just one follow-up question then. Simon, you mentioned price position, so how do you feel about the price position of your brands compared to the competition over the last couple of months?
Simon Litherland: Gosh, yes, look, I mean that does very much vary by brand and by pack. So we have seen the competition take price. And in some respects, in some areas, they've taken what we would have expected, some areas are same bit more, some areas they've taken the less. It's really hard to go into specifics. What I would say is we monitor it very closely. It does have an impact on volumes, but we have the agility and ability to manage it as well. So that's one to see over the coming months, and we will adept our strategy as we see fit. I think, we have time for 1 or 2 more, yes.
Operator: We will now take our next question from Doriana Russo from HSBC.
Doriana Russo: Most of my questions have been answered. I just have a follow-up on Brazil. Obviously, margins have gone down, and you have explained why they have gone down. But you also have given some sort of an outlook for the future, which will lead to higher margin. But what is happening right now in the field? What can we expect for the second half? Is what we have seen in the first half pretty much what we could expect for the full year, if you can give us a sense, please? Also, in terms of pricing, what are the pricing actions that you plan to take in the second half for pricing and margin?
Joanne Wilson: Yes. Let me have a go at that one, Doriana, and Simon can build it if he thinks there's anything else to add. In terms of the environment in Brazil, so as we shared, we've seen the highest inflation there for all of our business units. I'm really pleased with how the team have responded there. So we have taken multiple price increases through -- some through the second half of last year. And in the first half of this year, we're taking another price increase this month. It's not impacting volumes significantly. You've seen the strong growth, and I think we've got a really good hold on the elasticity and understanding that. And it's a much more agile market there where you can take multiple price increases. The team has also been very focused on their cost management. We have taken costs out of the business there, and we'll continue to do so where it makes sense. We also have looked at areas like recipe reformulation, where that's enabled us to reduce cost. So inflation is the big headwind that we're seeing. There's a little bit of mix drag in the first half as well as some of those innovation categories or newer categories, I should say, like grape and kids have grown at a faster pace than concentrates, which tend to be higher margin. We've seen that come back a little bit in April. And as Simon touched on, we also have our premium brands. So would be a great person to call the top of inflation in Brazil, but we're hoping we're almost there. And certainly, for the second half, we are expecting to see an improvement on margins versus what we've seen in the first half.
Doriana Russo: Okay. And if I may, is the improvement expected to come from top line, improving the mix of new adjusting pricing? Or do you think it's just the overall impact of some sort of mix effect that might benefit the margin...
Joanne Wilson: It will be a little bit of everything. So obviously, in the second half, we'll see the full benefit from the actions that we've taken in the first half. So that's multiple price increases, some of the cost out of the recipe reformulations, we haven't really seen much benefit from those in the first half, just given the timing of when we did those. So those will come through in the second half as well. And then as I touched on, we are seeing an improving mix in the last month or so, so that should also support margins.
Doriana Russo: Okay. And just a quick one, if I may? Just in terms of the outlook on concentrate for the U.K., I think Simon said a little bit about what you expect for Robinsons. But in terms of the category, is it very much weather related? Or do you think that you might be able to hold on some of the consumption increase post-COVID?
Simon Litherland: Yes. Look, I mean, I think soft drinks is weather-impacted. So we know that, but -- and concentrates, too. But we see growing water consumption, the health and wellness trend is there and the penetration of flavoring water is still relatively low. So we remain very excited by the long-term opportunity for brands like Robinsons, MiWadi, Teisseire, Maguary. And indeed, I think we've got a very strong program both from a marketing perspective and a brand perspective, that gives us great confidence about H2, irrespective of the weather. So examples of that are Robinsons Ready to Drink, which is doing really well, great customer reception. It's a really great tasting product. We've reformulated our initial Robinsons Ready to Drink liquids having had some consumer feedback and we've got really strong taste profile now and great consumer acceptance of that brand and we're excited about Hundred sponsorship with Robinsons Ready to Drink. We've launched added benefits with vitamins in Barley water, in MiWadi in Ireland, which is growing really strongly. We've launched Benefit Drops in the U.K. and Ireland, which is quite exciting. And then we're also launching Teisseire for soda machines in Belgium, which has actually become quite an interesting market. So lots of activity -- and Tropical, and Maguary in Brazil which is sort of a Robinsons equivalent for the Brazilian market. So there's an awful lot of activity happening in concentrates from Britvic and I think we're going to have an exciting second half.
Operator: We will now take our last question from Yubo Mao from Morgan Stanley.
Yubo Mao: Firstly, very quickly on shareholder returns, but more on the dividend payout, I think the payout was maintained at 40% for the interim. And I appreciate you have a progressive dividend policy of 50% payout. Now in the context of a £75 million buyback you've also announced today, should we expect you to bring that 40% payout back to 50% over time? Or should we interpret this as the preference for buybacks over dividends at this point? And secondly, very quickly on pricing, can you talk about the magnitude of price increases you placed through across the key markets, please?
Simon Litherland: Yes. Look, I mean, on pricing, we don't want to talk about the magnitude on -- that we've taken, and it does vary very much by brand, by skew, by market. So I'm not going to give an overall percentage I mean on the dividend policy and payout, do you want to pick that up, Joanne?
Joanne Wilson: Yes. So our payout policy and dividend is 50%, and we're very much committed to that. And that's based on a full year dividend. So on interim, you always see a little bit of a lower level of a payout. But certainly, for the full year, the intention would be that, that would be 50%.
Simon Litherland: Great. Thanks very much. All right, everybody. Thank you very much for the questions, and thanks very much for your interest, and look forward to seeing you all soon.